Operator: Good day ladies and gentlemen and welcome to Quarter Three Targacept Earnings Conference call. My name is Matthew, and I'll be your operator for today. At this time, all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator Instructions). And now I would like to turn the call over to Dr. Stephen Hill, President and CEO. Please proceed sir.
Dr. Stephen Hill: Thank you, Matthew. And good morning to everyone, and thank you for joining us today. With me this morning is Alan Musso, our Chief Financial Officer. First, let me inform you that comments made today may include forward-looking statements made under the Private Securities Litigation Reform Act of 1995. Forward-looking statements relate to plans, expectations, objectives or future events, financial results or condition including for any of our product candidates, the design, scope or other details of clinical trials, the timing for initiation or completion of, or the reporting of results from clinical trials or for submission or approval of regulatory filings, target indications or commercial opportunities, as well as our cash runway, revenues or expenses, plans, expectations or any other matter that is not coherent historical fact. Actual results may differ materially from those expressed or implied by any forward-looking statement as a result of many factors, including those described under the heading, Forward-Looking Statements, in our press release from earlier today or under the heading, Risk Factors, in our most recent Form 10-K or in later filings with the SEC. We caution you not to place undue reliance on any forward-looking statement. Also, any forward-looking statement that is made speaks only as of today and should not be relied upon as representing our views as of any future date. We disclaim any obligation to update any forward-looking statement except as required by applicable law. So with that first, I'd like to provide a brief update on our ongoing assessment of strategic options that will shape our future business. Our current assets include a healthy cash balance in excess of a $100 million, extensive intellectual property and clinical data related to our neuronal nicotinic receptor portfolio. The group of employees with broad ranging experience in R&D program and public company management and of course our public listing. Behind those assets is an experienced biotech investor base which remains supportive to the company over a number of years. Our desire is to identify a strategic path that balances the needs of all of our key stakeholders and to do so quickly, but thoughtfully. As such, it is our intent to identify a limited number of preferred strategic priorities before the end of this year. This may include, but not be limited to a strategic combination with another company, a broadening of our portfolio by in-licensing, a possible substantial return of cash to investors or a combination of these options. In parallel, we will continue to be disciplined in controlling our expenses in order to maximize the cash resources available, for the benefit of our shareholders. Turning then to our current operations, we have underway an exploratory clinical trial of TC-6499 in the indication of diabetic gastroparesis. At the current rates of recruitment, we anticipate concluding this trial and providing headline results in the first half of 2015. We do not anticipate initiating any new studies with our NNR agents prior to determining our future strategic direction. With the conclusion of our collaboration with AstraZeneca, we now have unencumbered rights to a range of compounds that may have a utility in Parkinson's disease. Whilst we have no current plans to pursue this indication ourselves, the program maybe of the interest to CNS focused third parties and we intend to explore out-licensing options to this and other NNR programs. With that, I'd like to handover the call to Alan for a brief financial update. 
Alan Musso: Hi, thank you Steve. Let me now briefly highlight our financial results for the third quarter of 2014, which we released earlier today. We ended the third quarter with a balance of a 114.5 million in cash and investments in marketable securities. For the third quarter of 2014, we had a net loss of 4.9 million compared to 12.9 million for the third quarter of 2013. For the nine months ended September 30, 2014 we reported a net loss before income taxes of 24.5 million compared to 33.3 million for the corresponding 2013 period. The lower net losses for the 2014 period were due primarily to lower research and development expenses. And with that, I would like to open up of the call for your questions.
Operator: Thank you. (Operator Instructions). And your first question comes from the line of Alan Carr of Needham and Company.
Alan Carr - Needham & Company: Hi, thanks for taking my questions. It sounds like you are still pretty open minded when it comes to BD strategies here. Is anything narrowed with respect to maybe if you do have to in-license or acquire another company if there is certain indications that you would be focused on? And then also, in the assets that were returned from AstraZeneca. Did this -- the end of this collaboration, did that only bring back 1446 or are there other compounds that came back with that and can you review whether or not list those in what sort of opportunities might be for those, either in-house or if you out-license them?
Dr. Stephen Hill: Yes. So with regards to first question, we are fairly agnostic in terms of therapeutic area or disease focus when it comes to business development activities, so we are open minded about that and certainly are exploring beyond CNS and certainly beyond NNR therapeutics. So really what we are looking for is opportunities -- with scientific opportunity making difference in patient's lives, where we believe we could add value to those programs with the resources that we have. With regards to AstraZeneca, that was primarily the 1446 compound and there were some other compounds that were embraced by that program, but clearly the lead compound was the primary compounded interest. But we also have some data show us that our other NNR compounds which we had been considering independent of the AZ program in Parkinson's disease particularly L-dopa-induced dyskinesia, so we have a little bit of data and some interest around that and we believe that now that we have the AZ program back unencumbered that that package of compounds and data maybe interesting in PD, LID particularly.
Alan Carr - Needham & Company: And on your burn, looks like you dropped a bit in the third quarter, you are still maintaining the same the financial guidance for the year? 
Dr. Stephen Hill: Yes, Alan we haven't provided any updates to our financial guidance then when we reported 2Q earnings, we guided that we would have approximately a 107 million in cash investments at year end, we haven’t provided any updates since then. 
Alan Carr - Needham & Company: Thanks very much.
Operator: Thank you for your question. (Operator Instructions). [Tom Sweeney of Harwood]. Please go ahead. 
Unidentified Analyst : Yes, thank you for taking my call. One of the strategic possibilities you mentioned -- of course joint ventures and what not, but you also mentioned a potential return of capital to shareholders. I haven't heard that before from you. Could you maybe expand on that? 
Dr. Stephen Hill:  As we've mentioned, we have been in close communication with our major shareholders. And I think our logic is to maximize the -- if you like, the alignment between what we feel is the right directors for the company and what our shareholders who at the end of the day own the company, believe. So, we would want to keep enough cash in the company to support whatever programs we choose to support going forward, but maybe not more than that. So one way of giving our investors some freedom to choose how their money is invested is to return some of that cash, there are different mechanisms of doing that, whether it’s through a share buyback or a tender offer or a dividend. So, we just went with the old embracing in our strategic review, so that we keep all of those possibilities under consideration, again in hope of aligning what we choose to do with the broad needs of our different shareholder groups. 
Unidentified Analyst: And I think you mentioned that you might -- any major announcements would be done by the end of the year, is that..?
Dr. Stephen Hill:
 : Well we haven't given any hard and fast deadline, but we have communicated that we wish to conclude this strategic review if you like before the end of the year and at that point hopefully be in a position where we have indentified what is our route forward and be in a position hopefully to communicate that. But there is not hard deadline to do that, it just a time frame for guidance. 
Unidentified Analyst : Okay. Well thank you very much.
Operator: Thank you for your questions. I would now like to turn the call over to Dr. Hill for the closing remarks.
Dr. Stephen Hill: So thank you everybody for listening. I also at this point, I want to say a big thank you to all of our employees, the Board of the Company for their support during a period of somewhat uncertainties. We decide how to move the company forward in the future, so I will thank our employees particularly for their support in that process and thank all of you for your patients and your interest in the company and enjoy the rest of the week. Thank you.